Operator: Good afternoon and welcome to the A-Mark Precious Metals conference call for the fiscal first quarter ended September 30, 2016. My name is Stacey, and I will be your operator this afternoon. Earlier today, A-Mark issued the results of its fiscal first quarter 2017 in a press release, which is available in the Investor Relations section of the company’s website, at www.amark.com. You can find a link to the Investor Relations section at the bottom of the homepage. Joining us on today’s call are A-Mark’s CEO, Greg Roberts; President, Thor Gjerdrum; and CFO, Cary Dickson. Following their remarks, we will open the call to your questions. Then, before we conclude today’s call, I’ll provide the necessary cautions regarding the forward-looking statements made by management during this call. I would like to remind everyone that this call is being recorded and it will be made available for replay via a link available in the Investor Relations section of the company’s website. Now, I would like to turn the call over to A-Mark’s CEO, Mr. Greg Roberts. Sir, please proceed.
Gregory Roberts: Thank you, Stacey, and welcome, everyone. Thank you for joining us today. Fiscal Q1 was gratifying in many ways, because it validated our business model in what was a relatively subdued precious metals market. As many of you know, our exceptionally strong results in fiscal Q1 of last year were spurred by above average demand and volatility in the precious metals market. This in turn drove an unprecedented level of activity in both our core trading and online retail support services business. Further, we are proud of our financial performance in Q1 of last year, because it illustrated the earnings power of our business model. But it’s important to keep in mind that these market conditions were atypical and our business is non-seasonal. As we communicated in our earnings call in September of 2016, we anticipated that normal market conditions we experienced in Q4 to carry over into Q1 and certainly they did. So looking at our results on a sequential basis, nearly every financial metric was up, including revenue, gross profit and net income. This growth was achieved despite lower physical metal ounces sold. The sequential improvement in our numbers was driven by strong demand for our higher margin custom coin and finance products. As I alluded to earlier, this solid performance illustrates the advantages of our diversified business model, which provides multiple revenue streams and offers opportunity for significantly higher gross profit in market environments with increased volatility and demand similar to what we experienced in fiscal Q1 of last year. Now before I continue, I would like our CFO, Cary Dickson to walk us through the financial details for the quarter ended September 30, 2016. Then our President, Thor Gjerdrum, who’ll discuss our market position and key operational metrics. Afterward, I will return to talk more about our operational progress and initiatives, as well as our outlook for the remainder of fiscal 2017. Cary?
Cary Dickson: Thank you, Greg, and good afternoon to everybody. Turning to our financial results for the fiscal first quarter ended September 30, 2016. Our revenues increased 4% to $1.81 billion from $1.74 billion in the prior quarter, and decreased 10% from $2.01 billion in the same year ago quarter. The year-over-year decrease in revenue was partially due to lower gold and silver ounces sold, partially offset by an increase in precious metal prices. Our gross profit for fiscal one increased 7% to $8.1 million or 0.45% of revenue from $7.6 million or 0.44% in the prior quarter. On a year-over-year basis gross profit decreased 44% to $14.4 million or 0.72% of revenue compared to fiscal Q1 of last year. The decline in our gross profit margin was primarily due to lower premium spreads on our primary products as lower ounces and lower total tickets compared to the same year ago quarter. The tighter premium spreads and lower volumes as compared to the same year ago quarter were due primarily to the unusual market conditions in Q1 of last year, in which commodities experienced unusually high volatility, resulting in a widening of trading spreads and higher demand. Turning to our expenses our selling, general and administrative expenses decreased 5% to $5.7 million from $5.9 million in the prior quarter. On a year-over-year basis, SG&A decreased 12% from $6.4 million in Q1 of last year. The decrease in SG&A was primarily due to performance-based compensation accrual, partially offset by $250,000 of consulting expenses related to the development and implementation of a new enterprise resource planning system and $600,000 non-recurring expenses. Our interest income increased 19% to $2.9 million from $2.4 million in the prior quarter, and increased 49% to $1.9 million in the same year ago quarter. The year-over-year increase is driven primarily by an increase in the size of our loan portfolio as well as increased utilization of our inventory finance products by our wholesale customers, including improved contango earnings. Our interest expense for Q1 of 2017 increase 6% to $2.2 million from $2.1 million in the prior quarter, and increased 82% from $1.2 million in the same quarter last year. The year-over-year increase is primarily due to greater usage of our lines of credit and other financing - product financing arrangements as well as an increase in the LIBOR rates experienced as a result of the Federal Reserve rate increase in September of 2015. Our net income for Q1 of 2017 increased 83% to $2.0 million or $0.27 per diluted share from $1.1 million or $0.15 per diluted share in the prior quarter. On a year over year basis, our net income decreased 65% from $5.6 million or $0.80 per diluted share in the fiscal Q1 of last year. The year-over-year decrease in net income was primarily due to lower revenue and gross profit. Now, turning to the balance sheet, at quarter end we had $16.8 million of cash in our balance sheet. As I mentioned in our last call, it is important to remember that we are net borrower and we typically pay down our balances daily to minimize interest expense. And finally, our tangible net worth totaled $55.3 million or $7.7 per diluted share. This completes my financial summary. Now, I will turn the call over to Thor, who will provide an update on market conditions and key performance metrics. Thor?
Thor Gjerdrum: Thanks, Cary. On our last call, we talked about the four key metrics we used to assess the performance of our business. These key performance indicators include the number of gold and silver ounces sold, trading ticket volume, inventory turnover as well as the size of our finance book. The first key metric we evaluate is the number of gold and silver ounces sold. As you may recall, this metric is important, because it reflects the volume of business that we are doing without regard to changes in commodity pricing which figure into revenue and can mask actual business trend. In the fourth quarter, we sold 530,000 ounces of gold which was down 25% from the prior quarter and 41% from Q1 of last year. The number of silver ounces we sold during the quarter was also down both sequentially and year-over-year. For Q1, we sold $21.8 million ounces of silver which was down 16% from the prior quarter, and down 46% from the same year-ago period. The year over year decreases in ounces sold from our gold and silver were primarily due to higher volatility and decreases in commodity prices in Q1 of last year. These factors led our customers to increase their precious metals purchases to take advantage of lower prices. As you might remember, the increase of volatility was due to macroeconomic factors that created an increase in demand at lower commodity pricing. And the average spot prices began to increase during the quarter from the two-year lower in average spot prices, demand for our bullion products began to reflect more typical levels of sales activity as markets supply levels normalized. This resulted in lower ounce volumes compared to Q1 of last year. Another measure of our business volume is trading ticket volume, which is the total number of orders processed by our trading desks at Santa Monica and Vienna, Austria. As a reminder, in periods of high volatility there is generally increased trading in commodity markets and increased demand for our products which translates into higher business volume. During Q1, our trading ticket volume was up 5% to 22,031 from the prior quarter which increased 24% from Q1 of last year. The decrease from the year-ago period was primarily the result of unusual strong market condition and demand in the year-ago period. The third key metric we evaluate is inventory turnover, which we define as the cost of sales during the period divided by the average inventory during the period. As you know, inventory turnover is a measure of how quickly inventory has moved, and we typically experience a higher inventory turnover ratio during periods of higher volatility when trading is more robust, reflecting a more efficient use of our capital. For Q1, our inventory turnover rate was 6.6, which was down slightly from 6.7 in the prior quarter and down from 8.9 in Q1 of last year. The year-over-year decrease on inventory turnover ratio was due to higher volume of activity in our product financing arrangements and higher portion of our materials procured from foreign sourcing and longer carrying periods associated with our higher margin custom products. And finally, the fourth key metric we measure is the size of our lending business, which is determined using the number of secured loans we have at the end of the quarter. The number of loans we secured at the end of the quarter was up 42% to a record 1,657 from 1,173 loans at the end of the prior quarter and up 255% from 470 secured loans at the end of Q1 last year. This significant improvement in the number of secured loans was primarily due to the acquisition of bullion-based loan portfolio. That concludes my prepared remarks. I will now turn it back over to Greg to talk about some of the progress we’ve been making on our key operational initiatives as well as the outlook for 2017. Greg?
Gregory Roberts: Thank you, Thor. Our strategic initiatives to expand our capacity and product offerings continues to gain traction. This is demonstrated by several recent accomplishments, especially the strategic investment we made in the SilverTowne Mint, a leading producer of fabricated silver products. In the 12 months prior to our investment, SilverTowne produced approximately 12.5 million ounce of silver. We have already made great strides in expanding that production and are well on track to achieve our first year production targets of 15 million ounces, and ultimately, 20 million ounces by year three. Concurrent with our investment in SilverTowne, we also headed into an exclusive supplier agreement with Asahi Refining USA, a subsidiary of Asahi Holdings, a global refiner and producer of precious metals. Asahi is acting as the exclusive supplier of LBMA-approved silver feedstock to the SilverTowne, providing the mint with a consistent supply of silver feedstock. This enables SilverTowne to produce significantly more fabricated bullion annually, which A-Mark then distributes exclusively to Asia, Europe and North America. This unique arrangement creates the opportunity to sell a greater amount of silver per year to fulfill the increasing demand of our existing and future customers, and service a broader range of potential customer. This vertically integrated model that combines Asahi’s global refining capabilities and A-Mark’s industry-leading marketing and distribution network is truly unprecedented in the industry. In addition to increasing our capacity and distribution, we are leveraging the mint’s longstanding fabrication capability. Over the year, SilverTowne has developed an extensive coin die portfolio that is helping us expand our higher margin custom coin programs, including introducing new custom products for individual customers. Along that line, our platform of custom coin programs continues to be an increasingly meaningful contributor to our core business and margin enhancement. These products typically carry higher margins and are been sought after by many customers, because of their unique and highly differentiated nature. In fact, during the first quarter we sold more ounces of custom gold products than we ever have before. The success of our custom coin programs is the reason we continue to expand this growing part of our business, which now has a record 62 active programs currently in place. This number is up 55% from the 40 active programs we had at the end of Q1 last year. These programs continue to be well received in the market as demonstrated by their strong sell through. We are working hard with our strategic partners and SilverTowne Mint to meet the growing demand. In addition to our expanding custom coin programs, during the first quarter we completed the consolidation of our wholesale operations into the 17,000 square foot logistics facility in Las Vegas. By consolidating those operations into one primary location under our control, we have reduced dependence on third-party service providers while enhancing our quality control, reducing operating expenses and ensuring a more vertically integrated business model. This model provides for a range of products and services including turnkey logistics to our customers engaged in the retail business. We provide these customers a one-stop-shop for financing, hedging, inventory handling storage and seamless drop-shipping directly to their own retail customers. A key objective in fiscal 2017 is to accelerate the expansion of our turnkey logistic services. Another focus this year is on expanding long-term secured storage at the facility. In particular, IRA custody is a growing area within the Precious Metals storage. One reason this is an attractive business for us is it involves high margin storage fees and low turnover or product movement. The initial response from the market has been encouraging, and I’m happy to report that we recently secured our first customer in Las Vegas using this plan. We will continue to secure additional customers during fiscal 2017. Overall, the foundation of our strategy this year is on growth, this includes growing the volume of our business, our geographic presence and the scope of complementary products and services that we offer our expanding customer base. While similar market conditions to Q1 continue in our current fiscal quarter ending December 31, both in terms of demand and volatility, we remain focused on executing our plan to grow our platform of high margin and turnkey solution. In summary, we ended fiscal 2017 with encouraging momentum and now aim to leverage that product as well as our diversified business model to expand our margins and capitalize on market conditions as they arise. Now with that, we are ready to open the call for your questions. Operator, please provide the appropriate instructions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Ian Corydon with B. Riley & Co. Please proceed.
Ian Corydon: Thank you. I might have gotten this wrong, but I thought I heard in the prepared remarks that there was $700,000 of one-time expenses in SG&A in the quarter. Was that right and, if so, what was that for?
Thor Gjerdrum: I believe the number was $600,000. Is it seven?
Cary Dickson: $600,000.
Thor Gjerdrum: $600,000, Ian, in this quarter. And to answer the question, we explore the business combination which would have provided geographic expansion, which we ultimately decided not to pursue at this time, and the related cost in our due diligence of that combination were all incurred in this quarter.
Ian Corydon: Got it. And in terms of SilverTowne you did say you’re well on your way to hitting your 15 million ounce target for this year. Can you get to 20 million ounces in 2018 or is there some reason why that would probably not occur in until 2019?
Thor Gjerdrum: I don’t want to overpromise and under deliver, but we think there is a good shot we could hit that number in 2018. I hope we don’t have to wait till 2019, but like a lot of things we’re a little bit reliant upon market conditions, and what the price of silver actually is. If you told me silver was going to be $28 or $14, the chances of us hitting 20 million ounces in a year would be affected by either of those numbers. Remember that there is an overall amount of dollar spent on these products and if the price of silver is lower, we have to make a corresponding higher number of ounces to absorb that demand. So there are a number of factors that go into. What I think the most important thing to note is that if the market demanded 20 million ounces next month, we believe that with our supplier agreement from Asahi as well as our distribution and logistics capabilities out of Las Vegas that we would be able to produce and ship 20 million ounces next quarter, if the market allowed us to. But on a - there are a number of things we are trying to do outside of market conditions, which is growing the number of products that we can produce there and bring the quality of the production up. So that we can produce some higher quality products out of there that absent of market conditions will allow us to grow the ounces we produce. So there is a couple of ways to get 20 million ounces. It’s just a function of when those ways come together at the same time that will depend on how fast we get there. But ultimately we are going to get there.
Ian Corydon: Okay. And you mentioned that market conditions are continuing to be similar into the December quarter, should we read that to imply that your run rate of ounces sold so far this quarter is kind of similar to how it looked in the September quarter?
Thor Gjerdrum: Yes. I think, you can read it that way. I think we - the last few weeks we’ve had a couple of opportunities in the last what’s it been - it’s been about four weeks - we’ve had four, five weeks. We’ve had a little - we’ve had a pretty good drop in price the first week in October, where we had gold and silver make a fairly significant retreat. A lot of that had to do with some of the election news and we were - we saw a very immediate response from a demand side, when we had that drop in early October, the first week of October. And then kind of vice versa, the last week to ten days you’ve had a little hiccup in the stock market leading up to the election, and you had gold and silver prices run up a little bit more from those early October lows. So again we saw, and in this case, I think the risk of mentality out there, the last seven to 10 days, has actually affected our business and our ounces a little bit to the upside. So we will see what happens here following tomorrow’s election. But we feel like from what we know now, 30 days into the quarter that the conditions are fairly similar to what we saw in Q1 from a macro perspective.
Ian Corydon: Okay. And last question is just on the tax rate. Should we be looking for about 40% for this year or it’s going to be a lower number?
Cary Dickson: We’re forecasting a lower number. This is Cary speaking. I think we been around 40%. Because our income is down a little bit we are getting some benefit from a little bit lower federal [ph] rate. And we also are not getting hit with any permanent differences like we have in the past too. So I think we are looking at between 35% and 36% range for the year. That’s what we are forecasting right now.
Ian Corydon: Got it. Thank you.
Operator: [Operator Instructions] Our next question comes from Greg Eisen with Singular Research. Please proceed.
Greg Eisen: Thanks and good afternoon.
Thor Gjerdrum: Hello.
Greg Eisen: Hi, could you first repeat the number of custom programs that you have going on now versus the prior quarter, I missed that?
Thor Gjerdrum: We have 62 going on right now and we had 40 a year ago.
Greg Eisen: 62 now versus 40 a year ago, and so you said that the demand looks good for those custom programs. You said that, I guess, this is the highest volume quarter for custom program demand products. Did I hear you correctly?
Thor Gjerdrum: In gold, yes, not in silver, but in gold, we have some gold products that have done quite well. We make a little less money on gold, and but we are - the fact that we have gold products out there in the marketplace. We are optimistic that that will continue.
Greg Eisen: Okay. So it’s a record quarter for gold, but not necessarily for the silver products?
Thor Gjerdrum: Correct. But a record number for different types of silver products just not a record for ounces.
Greg Eisen: Got it. And can you talk about the percentage of sales that’s coming from custom products now versus just pure billion? Is that something you can disclose?
Thor Gjerdrum: We don’t generally discuss it. We were trying to get more information out there on these products, but for right now, we are not breaking it out and we are not using it is as a metric that we are looking out to look forward out.
Greg Eisen: Understood. I just thought I should ask. Could you talk about what was the average spot-price of gold and silver that you saw, that you realized in the quarter compared to last quarter?
Thor Gjerdrum: Yes, let me get that up, we have it right here. The average - in the September ended quarter, the average price of gold was $1,352, and in the June 2016 ending quarter it was $1,274. So it was up in September. It’s important to note that as I said early in the first week of October, we had a retreat down to about $1,260, $1,250. And then now it - two days it was back up to $1,300 and it has now back today down to about $1,275. On the silver side in the June - I’m sorry, the September 2016 ending quarter we averaged $20 that was up from $17.31 in the June 2016 quarter. If you go back a year ago you had silver, September 2016 again at $20 and back in September 2015 you had it at $15.82 and on gold $1,352, this September back to $1,148 in September of 2015.
Greg Eisen: $1,148? Okay, got it, got it. Okay…
Thor Gjerdrum: That’s a year ago, so we’re up - most of the increase occurred in the January, February, March of calendar year 2016, we had a fairly big move up in gold and then the same in silver.
Greg Eisen: Got it, got it. Now, turning to the - you talked about the - in the remarks, your program for storage for customers, specifically storing IRA investments in precious metals for customers. In doing that storage for customers is that really a retail sale or a wholesale sale? So would you be selling that service to me as an individual or to, say, TD Ameritrade as my broker for record for my IRA, when I go through them and say, buy me 100 ounces of gold, park it with A-Mark?
Thor Gjerdrum: Right. You would not direct it, there is a trustee that directs it. There is a number of trustees in the U.S. that manage IRA storage for precious metals. And there is a number of different secured storage facilities around the country, where IRA accounts can be stored. In your scenario or your example, you would have a trustee that manages it and TD, your broker, would contract with a trustee to manage it. That trustee would then bring a number of individual accounts that we would be segregated as they arrived in Las Vegas, and we would store them under your name with the custodian managing the overall movement of those metals, whether you decide to add to them or you decide to liquidate them, the trustee would send us instructions to do that. For us having that business also does open up the possibility that an individual that might have an IRA account stored with us, they may also have a metal owned individually, and they may choose to come to us and open a retail storage account with A-Mark in Las Vegas. But that would be housed in a different area of the facility and it would be managed directly, if you are let’s say to open an account with A-Mark for storage through our TD [Multiple Speakers]. Right.
Greg Eisen: And it would - with my own, say, to taxable investment as opposed to an IRA investment, so essentially I will be contracting with TD as my IRA-company, they’re hiring a manager who is the trustee and the trustee is contracting with you, A-Mark, to actually be physical custodian.
Thor Gjerdrum: Correct. The trustees that are out there, that you would have an option with or the TD would have an option with none of them are currently in the storage business. They contract with other storage facilities.
Greg Eisen: Okay. So they’re not in the storage business.
Thor Gjerdrum: They’re not - they don’t, they’re not a trustee and on their own storage business. They contract with somebody like us or one of the other storage providers. So there is a - like I said, there is like three people in the chain between TD, the IRA trustee, and the actual storage facility.
Greg Eisen: Good. So when you say you made a sale this past quarter, that was in the September quarter, was that selling to one of these trustees to do business with them for their - essentially their clients.
Thor Gjerdrum: Well, that’s a good question. I will say that what we outlined or I outlined earlier in the prepared script was that we did bring an IRA - an IRA trustee did move metal to our facility this quarter. So, yes, we did have - we did do that. The other way that we touch an IRA customer is that there are companies out there that are customers of A-Mark’s that will buy the metal from A-Mark it will go into a trustee, it will go into an individual IRA account. The trustee at that point isn’t involved in the actual procurement of sale of the metal. Again, they’re just the trustee once the metal is in an individual’s account. And so we do make sales with customers that sell into IRAs. In this case, you use TD as an example. It may be another retail bullion dealer who is providing metal to individuals to put into their IRAs, but the trustee would still be the same. That trustee may - that we sell the metal to the customer that metal may or may not go to the Vegas facility. It may go to one of the competing storage facility. So there is a few different aspects and routes that A-Mark metal can flow into IRAs. But what we were referring to was specifically that we have been able to work with a trustee to move some individual IRA storage accounts to Las Vegas. And that is a first this quarter, whereas we have been selling physical metal into IRA accounts through our customers for many years.
Greg Eisen: Got it, got it. Okay. I think, I understand what you’re driving at here. Okay. I’ll let someone else go right now. Thanks.
Operator: Thank you. I would now like to turn the floor over to Greg Roberts for closing comments.
Gregory Roberts: Are we sure there are no other questions?
Operator: There are no further questions.
Gregory Roberts: Okay. Thank you for joining us today. I especially want to thank our investors for their continued support as we continue to build A-Mark into the global leader in precious metals trading. We look forward to updating you on our next call. And thank you again for joining us.
Operator: Before we conclude today’s call, I would like to provide A-Mark’s Safe Harbor statement that includes important cautions regarding forward-looking statements made during this call. During today’s call, there were forward-looking statements made regarding future events. Statements that relate A-Mark’s future plans, objectives, expectations, performance, events and the like are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and the Securities Exchange Act of 1934. Future events, risks and uncertainties, individually or in the aggregate, could cause actual results to differ materially from those expressed or implied in these statements. Factors that could cause actual results to differ include the following: the failure to execute the company’s growth strategy as planned; greater than anticipated costs incurred to execute the strategy; changes in the current international political climate, which has favorably contributed to demand and volatility in the precious metals market; increased competition for A-Mark’s higher margin services, which could depress pricing; the failure of the company’s business model to respond to changes in the market environment as anticipated; general risks of doing business in the commodity market; and other business, economic, financial and governmental risks as described in the company’s public filings with the Securities and Exchange Commission. The words, should, believe, estimate, expect, intend, anticipate, foresee, plan and similar expressions and variations thereof identify certain of such forward-looking statements, which speak only as of the dates on which they are made. Additionally, any statements related to the future improved performance and estimates of revenues and earnings per share are forward-looking statements. The company undertakes no obligation to publicly update or revise any forward-looking statements. Readers are cautioned not to place undue reliance on these forward-looking statements. Finally, I would like to remind everyone that a recording of today’s call will be available for replay via a link available in the Investors section of the company’s website. Thank you for joining us today for A-Mark’s fiscal Q1 earnings call. You may now disconnect.